Operator: Good evening, ladies and gentlemen, and welcome to the Phreesia Second Quarter Fiscal 2025 Earnings Conference Call. At this time all participants are in a listen-only mode. We will provide instructions for the question-and-answer session. First, I would like to introduce Balaji Gandhi, Phreesia's Chief Financial Officer. Mr. Gandhi, you may begin.
Balaji Gandhi: Thank you, operator. Good evening, and welcome to Phreesia's Earnings Conference Call for the Second Quarter of Fiscal 2025, which ended on July 31, 2024. Joining me on today's call is Chaim Indig, our Chief Executive Officer. A more complete discussion of our results can be found in our earnings press release and in our related Form 8-K submission to the SEC, including our quarterly stakeholder letter, both issued after the markets closed today. These documents are available on the Investor Relations section of our website at ir.phreesia.com. As a reminder, today's call is being recorded, and a replay will be available on our Investor Relations website at ir.phreesia.com following the conclusion of the call. During today's call, we may make forward-looking statements, including statements regarding trends, our anticipated growth, our strategies, predictions about our industry and the anticipated performance of our business, including our outlook regarding future financial results. Forward-looking statements are subject to various risks, uncertainties and other factors that may cause our actual results, performance or achievements to differ materially from those described in our forward-looking statements. Such risks are described more fully in our earnings press release, our stakeholder letter and our risk factors included in our SEC filings, including in our Quarterly Report on Form 10-Q that will be filed with the SEC tomorrow. The forward-looking statements made on this call will be based on our current views and expectations and speak only as of the date on which the statements are made. We undertake no obligation to update and expressly disclaim the obligation to update these forward-looking statements to reflect events or circumstances after the date of this call or to reflect new information or the occurrence of unanticipated events. We may also refer to certain financial measures not in accordance with generally accepted accounting principles, such as adjusted EBITDA and free cash flow in order to provide additional information to investors. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. A reconciliation of GAAP to non-GAAP results may be found in our earnings press release and stakeholder letter, which were furnished with our Form 8-K filed after the market closed today with the SEC and may also be found on our Investor Relations website at ir.phreesia.com. I will now turn the call over to our CEO, Chaim Indig.
Chaim Indig: Thank you, Balaji, and good evening, everyone. Thank you for joining our fiscal second quarter earnings call. We achieved another important milestone in the fiscal second quarter by reaching positive cash flow for the first time as a public-company. We believe this milestone, marks the start of a new era for Phreesia, in which we will be able to utilize internally generated cash to drive stakeholder value. Our fiscal second quarter results were solid across all of our key financial and operating metrics. We believe we are set up well to execute on our full year financial plans and plan for continued revenue and profitable growth this year, next year and beyond. I feel very good about where we are as an organization and appreciate my teammates for their commitment to our mission of making care easier every day and also to our vision to make every person an active participant in their care. I’ll now hand it over to Balaji to provide some financial highlights.
Balaji Gandhi: Thank you, Chaim, and good evening, everyone. Let me start with a couple of the highlights in our letter regarding the fiscal second quarter. Q2 revenue was $102.1 million, up 19% and $16 million year-over-year. Adjusted EBITDA was $6.5 million, up $18 million year-over-year. Our average health care services clients or AHSCs increased by 104 from the prior quarter. And total revenue per AHSC was $24,494, down 2% year-over-year. Q2 fiscal 2025 total revenue per AHSC was flat year-over-year when compared to Q2 fiscal 2024 total revenue per AHSC, excluding the revenue from the clearinghouse client relationship that we wound down earlier this year. Turning to our cash flow and balance sheet. We achieved two important milestones in the fiscal second quarter. First, we returned to positive operating cash flow; and second as Chaim mentioned, we achieved positive free cash flow for the first time, as a publicly traded company. Operating cash flow was positive at $11.1 million, up $20.4 million year-over-year. Free cash flow was positive at $3.7 million, up $19 million year-over-year. Cash was at $82 million on July 31, up $2.3 million from the end of our fiscal first quarter on April 30. We expect to continue to generate positive free cash flow while investing in long-term revenue and profit growth. Now moving on to our financial outlook for fiscal 2025. We are maintaining our revenue outlook for fiscal year 2025 at a range of $416 million to $426 million. We are updating our adjusted EBITDA outlook for fiscal year 2025 to a range of $26 million to $31 million from a previous range of $21 million to $26 million. That's a $5 million increase at the top and bottom end of our range. We have also provided an outlook for two metrics: AHSC's and total revenue per AHSC. We expect AHSCs to reach approximately 4,200 for the full fiscal 2025 compared to 3,601 we reported in fiscal 2024. We expect total revenue per AHSC to increase in fiscal 2025 compared to the $98,944 we achieved in fiscal 2024. In order to help you model beyond fiscal 2025, we are also sharing our expectations for AHSCs and total revenue per AHSC in fiscal 2026. We expect AHSCs to reach approximately 4,500 in fiscal 2026. Additionally, we expect total revenue per AHSC to increase in fiscal 2026 compared to fiscal 2025. Finally, I would like to reiterate Chaim's comment that I feel very good about where we are as an organization and would like to thank and congratulate all my Phreesia teammates for their contribution to our results. Operator, I think we can now open the lines up for Q&A session.
Operator: [Operator Instructions] Your first question comes from the line of Anne Samuel with JPMorgan. Your line is open.
Anne Samuel: Hi, congrats on the strong results, and thanks so much for providing the really helpful modeling color for 2026. I was hoping maybe you could just spend a little bit of time discussing how to think about the drivers of that ramp of the revenue growth per provider client just kind of keeping in mind your lower-term revenue target of 20% growth beyond 2025. And with the new clients growing, call it, high single digits next year, it does imply a pretty significant inflection. So I was hoping you could talk about what are the key drivers of that inflection are? Thanks.
Balaji Gandhi : Sure. Thanks, Anne, for the question. This is Balaji. So a couple of things, I think, on your question. First I think you have some good perspective on these growth drivers having followed us for a long time. And if you think about when we went public, that was sort of the algorithm we had in the first year, 1.5 years of being public. So we are certainly capable of driving a lot of revenue both in our base and driving sort of the total value of a deal-size higher. And then maybe just to give you some additional color on that. If you think about our pipeline, it is been as big right now in the -- for the first half of fiscal '25, as it was in the first half of '24. Our pipeline win rates have been consistent first half over first half. And the size -- total value of the transactions that we are doing are about 20% bigger in the first half of this year versus last year. So this is probably something you could sort to go back to fiscal '19, fiscal '20 and look at them and that's how it will probably playout over the next couple of years.
Anne Samuel: That's great. And happening, I think sooner maybe than I anticipated. Maybe just a follow-up. I was hoping you could provide some more color on the patient bill pay product and maybe how that differs from how your patients are currently transacting with you? Is there any kind of leveraging of carve on file for any of that?
Chaim Indig: Anne, this is Chaim. Yes, there is. We are leveraging current on file for it, but it's also -- I'm sure you'll see at some of your doctors' office. It's a product where we've invested heavily in, and it really provides a significantly better experience for the patient and their ability to pay their bill without actually having to do a lot of work and write a check and get a statement. So it's been a big investment. We are really proud of the team. The initial response from our clients has been well beyond what we even thought it would be. So hats-off to the team that's been rolling out. It probably took us a little long we expected, but it was a lot harder than we thought. So it's been really nice. And let me know when you see it at your doctors.
Anne Samuel: I hope to. Congrats guys.
Operator: Your next question comes from the line of Ryan Daniels with William Blair. Your line is open.
Ryan Daniels: Yeah, guys. I'll have my congratulations on the move to free cash flow positive. That's a great milestone. Maybe two questions. I will start with one for you, Balaji. Really impressive, downward trend in your sales and marketing spend, I think trended down from a peak of $40 million to $30 million now. Is that more of a sustainable level going forward? Or should we start to see that maybe modestly trend up a bit as we continue to drive the growth outlook going forward?
Balaji Gandhi : Yes. Thanks, Ryan. I think you should -- it's been in that level, call it, plus or minus $31 million, $32 million for 11 quarters or so now. I think you should expect us to continue to get nice leverage out of that number. One think, I will point out, Ryan, is that just 1Q to 2Q sequentially. Recall we talked about that clearinghouse client unwinding, there were actually some sales and marketing costs that were built into that, which is frankly what made it not very profitable to us. So that came out from 1Q to 2Q. So I think sort of being in that -- the range we've been in for a while, we can continue to get nice leverage. We have got a large organization of about 500 people in the sales and marketing organization, and we are spending $120 million. So we think that can support a much bigger organization revenue-wise.
Ryan Daniels: Okay. Very helpful. And then just a question on the MEDITECH alliance that you announced in the shareholder letter tonight, maybe twofold. One, will they actually be a reseller of the Phreesia product? And number two, when will the full product integration be available for the client base? I know that a pretty sizable client base, especially in the acute care market. Thanks guys.
Chaim Indig: Yes. So they are a reseller of one of our small piece of the technology for some of their clients, but a lot of clients that I'd say the alliance allows us -- it's really opening the door and making it easier for MEDITECH clients to buy directly from Phreesia from a lot subset of our other products. But they are a reseller of one of our products.
Ryan Daniels: Great. And then any comments on the full integration that you mentioned when that will occur? Thank you.
Chaim Indig: I'd say I expect that to continuously roll out over the coming years. And we do already have integration with it, and we'll keep investing in MEDITECH as a platform because – and the customer base has been very, very supportive of what we've been rolling out. So it's been very fruitful. And we agree, it's a huge potential market.
Ryan Daniels: Yeah, big up. Okay, thanks again guys. Cheers.
Operator: Your next question comes from the line of Scott Schoenhaus with KeyBanc. Your line is open.
Scott Schoenhaus: Hi, guys. Thanks for taking my question. Just wanted to poke around the more -- the additional color we got on the fiscal '26 target. My understanding was always that the network solutions would grow maybe mid-to-high teens as a percentage every year. Is that still the right way to think about it for next year? And what does that really imply on the subscription business, if you could break out some of that color more, I'd appreciate. Thanks.
Balaji Gandhi : Yes, Scott, I think what we can do to try to be helpful is we don't want to get into a revenue line item, forecasting. But I think, we talk about total revenue. And I think we have said that Network Solutions will continue to be a bigger part of our revenue. So as a percentage, it will grow over time. And so I think I talked about size and value of transactions being bigger, that is inclusive of Network Solutions. So I think, you should just expect that to grow as a percentage of revenue and it's been growing at or faster than subscription of late, but it will fluctuate quarter-to-quarter. And that's really one of the really nice things about our business is that we have these sort of three different ways to grow.
Scott Schoenhaus: Yes. That's very helpful, Balaji. And just as a follow-up there. I guess you mentioned about the inorganic opportunities provided by the new cash generation. Anything to call out there in terms of which part of the business you think that there is more attractive in currently market opportunities for M&A? Thanks.
Balaji Gandhi : Yes. Maybe Chaim and I are looking at each other a little confused. I don't think we mentioned anything about specifically about inorganic opportunities--.
Scott Schoenhaus: Oh, it just said about, you know, your cash -- your free cash generation would help you achieve these targets. So I -- sorry, I read between the lines of saying that as the --.
Balaji Gandhi : I think generally, you should expect that comment around free cash flow to be generating more cash flow. We think that's good, just makes us a stronger company and creates a ton of value. And it allows us to keep investing in products and doing the things we're doing. I don't think I'd take anything more away from that on --.
Scott Schoenhaus: Okay, my bad. Thanks.
Balaji Gandhi : Glad we cleared it up, though.
Operator: Your next question comes from the line of Jessica Tassan with Piper Sandler. Your line is open.
Jessica Tassan: Hi, guys. Thanks for taking the question. So I wanted to understand kind of what changed in your visibility on the average revenue per AHSC. We appreciate the guidance, but just are you guys seeing kind of the size of the pipeline or the magnitude of the opportunities grow? I think you referenced that. Is it new products? Or just what's giving you kind of sufficient confidence to be able to guide to growth in revenue-term?
Balaji Gandhi : Yes. Thanks, Jess. So I think what you are seeing today with the new information we shared is more the output of something we put in place a couple of years ago in terms of how we wanted to think about the business over the next several years. And so we just got a much broader suite of solutions both for providers, but also for our clients in Life Sciences which falls into that network solutions area. So when we are talking about and total value getting bigger, that's a very intentional thing that we started to put in place almost two years ago. And so we've been expecting it and seeing it. And I think we are reacting a little bit to conversations we've had with a lot of analysts and shareholders about, hey, where is this going quantitatively? And that's why we shared what we did today. So hopefully, that’s helpful.
Jessica Tassan: Yes. That's really helpful. And then congratulations on the PAM renewal. I was hoping that you guys could just maybe remind us I think we understand why patient activation is so important. But just -- what is kind of the opportunity to leverage PAM within your existing AHSC install base, if at all? Thanks.
Balaji Gandhi : Yes. I mean, look first of all, and one of the reasons we were very interested in acquiring the patient activation measure was that some of our clients were already utilizing it. I think the easiest application you can think about is in the nephrology space, where as part of the Kidney Care Choices program that the centers for Medicare and Medicaid innovation have launched, PAM is required to be measured. So if you think about a nephrology client Phreesia, that's participated in the KCC program, they have to measure PAM. It makes our products stickier. It allows us to do a lot of things around both all the things that Phreesia does, and over time, integrate that with PAM. But now I think you think about that renewal, and I think it is all public information out there, it gives us an opportunity over a longer period of time to get that included in new models within CMMI. And those new models could be in various specialties or provider settings that Phreesia works with.
Jessica Tassan: Great. Thank you.
Operator: Your next question comes from the line of Jailendra Singh with Truist Securities. Your line is open.
Jailendra Singh: Thank you and thanks for taking my questions. I actually want to go back to fiscal '26 metrics color guidance you're giving. A quick clarification. I know it looks like that modeling data is helpful. It looks like Street might be slightly higher on this AHSC count, but you are not trying to talk down the top-line growth expectation. You're essentially saying that maybe we are underestimating revenue per AHSC for fiscal '26, might be slightly higher on the total AHSC count. I just want to make sure that the message is clear, it's not a top-line talking but just the mix of the two metrics, something you want to give some guidance on, right?
Chaim Indig: Yes. I think that's right. I think what we would say is we haven't formally said anything about fiscal '26 in terms of revenue for the year. But I think that's the right takeaway that what we're trying to do is say you will see more contribution from total revenue per AHSC in [2026] (ph) than you have in the last couple of years.
Jailendra Singh: Okay. And then my main question around EBITDA performance and guidance raise this fiscal year. Would you attribute this outperformance to you guys able to find incremental like find cost efficiencies and leverage faster than you previously thought? Or are these incremental cost efficiencies, which you did not expect at all? Just trying to understand if there is any change to your -- the long-term margin profile in this business, you think about?
Balaji Gandhi : Yes. I think on the earlier question about revenue, it applies really throughout the company. I think there is -- there was really a lot of effort and focus by a lot of people at the company around what we wanted -- what kind of company we want to be, what kind of company it look like, how are we going to fund our growth. And so first of all, just to acknowledge that a lot of different people at Phreesia were part of this. And when you put a lot of things in motion like that Jailendra, you don't know the timing with precision about where you are going to be in any particular quarter. I think we've done well, but we're constantly looking for opportunities to be more efficient. We still spend a large amount of capital. So I think it is mentioned in Chaim's section of the letter, this isn't some kind of finish line.
Jailendra Singh: Okay. I mean -- last one, if I can sneak in here. What was the SDR count at the end of the quarter and any color you can provide as a guidance on that metric by end of the fiscal year?
Balaji Gandhi : Yes. And this is something -- another topic we've talked about a lot internally over the past couple of quarters. I think I talked about on Anne’s question about that organization. And it's a 500-person organization as we sit here today, inclusive of all the work we do in Network Solutions. We are spending over $120 million. I think there was a little bit of confusion from the investment community about SDRs in the context of this. I mean that 500-person organization has lots of people that are driving net new growth across the company. SDRs have been one tactic. So I think we’d rather just sort of say, if you wanted to keep score of how of the inputs on sales and marketing, think about it as 500, which is about the same as it was last year and think about it as $120 million. And yes, I don't think it's probably. It's not something that I can share.
Jailendra Singh: Great. Thanks a lot.
Operator: Your next question comes from the line of Glen Santangelo with Jefferies. Your line is open.
Glen Santangelo: Yeah, thanks for taking my questions. Just two quick ones for me. Back to the fiscal '26 outlook on the provider adds, I want of curious, sit here with five months left in fiscal '25. How much visibility -- how much forward visibility do you have on those provider adds at this point? Like I know you're working now for deals towards next year. I'm just kind of curious as to how much visibility you really have in throwing out that forward guidance at this point?
Balaji Gandhi: Yes. I'll answer the question this way, Glen. We have entering a year when we think out the provider space, and we think about subscription revenue and payment processing. We have lots of visibility. I'm going to say, 90% visibility. So that's the part of our business we have the most. And I think in Network Solutions, we've been pretty consistent. That's where most of the variability is. So even this late in the year, that $10 million revenue range, we have most of the variability there is in Network Solutions. So we do have a lot, which is why when we're sitting here in September, we've given a target for the full fiscal year for next year. So a lot but not 90% today, but entering a year, say maybe.
Glen Santangelo: Okay. Perfect. And maybe, Chaim, if I could just sort of follow up on one with you. I'm kind of curious as to where you think industry penetration rates might be for automated solutions like what you are selling? Because I think obviously, a great quarter, but some of the pushback may be on the slower provider adds next year. And so I guess people are always wondering -- I know you always say this is a hard business and I'm sure it continues to be, but are you seeing any movement in the competitive landscape from the EHR companies are we starting to push up against higher penetration rates? Like what do you think is going on?
Chaim Indig: Look, I think the team is doing a great job. I think we've invested heavily in a lot of new products, which are bearing fruit. So I think the investments we've been making in our product organization and diversifying away from just being known as intake. So we are really on that, which has helped us, frankly win fairly regularly on a weekly, monthly and yearly basis, can win more deals. And I think we're starting to see more and more of those venture-backed businesses that -- or private equity back businesses that are starting to struggle, having not invested and don't have the ability to invest at the rate they did. So to be fair, I think our view is, if you continue to invest in product and it's not where you -- what you did, it's what you're doing. And you should -- we believe we should have a continuous right to keep growing the business. And so far, that thesis has played out.
Balaji Gandhi : And Glen, what I'd add is we have different ways of growing. And that's the point is -- I think client growth is absolutely an important part of it, but -- so is the revenue associated with clients.
Chaim Indig: I don't think anyone – I don’t hear people often saying, "Well, my experience in health care has been amazing. It's so seamless."
Glen Santangelo: Okay, appreciate the comments guys.
Operator: Your next question comes from the line of Stephanie Davis with Barclays. Your line is open.
Stephanie Davis: Hi guys. Congrats on the quarter. We had really seen you push on the gas pedal and that rev per metric when at its scale before, so I was hoping you can give us some insight into the balance of how much of it is from new deals of scale that you talked about, which might have a bit longer to flow through? How much of it is that cross-sales of the broader solution suite? And when we think about your client base and the recent off-boarding you had in one, is there any further offboarding that might make sense if some clients aren't at the sale or sophistication it [this next Phreesia] (ph) platform?
Balaji Gandhi : What was the last part of that? Is there further what?
Stephanie Davis: Any further off-boarding and client relationships that might not be able to scale in the same way that you folks are looking to do?
Balaji Gandhi : Yes. Yes. I got it. So a couple of things I'd say, really two things around your question. First of all, what you're seeing in fiscal '25, just -- we've tried to unpack this in what we've shared is just that when you take $8 million out from that clearinghouse client that was a very unusual client for us which is one AHSC with $8 million, it distorts a lot of trend. The second thing though is -- and I think I mentioned this earlier, if you think about the pipeline, it's the same as it was a year ago. But the size of these -- the value of these deals is larger. And I think it's like as I said, about 20% larger compared to a year ago at this time, that flows through into the future and that’s how you get a lift on revenue per client.
Stephanie Davis: And you guys have seen a lot of leverage on the sales and marketing front. Should we think about a change in your go-to-market of maybe a more narrow focus or a bit more upmarket focus?
Balaji Gandhi : No. No, I think it's been pretty consistent. I think -- there's lots of analysis you can do now with over five years of data on visits and clients and the revenue associated with them. And it's -- the size and compositions pretty much been the same. It bounces around quarter-to-quarter, but it's pretty much been the same over that whole period of time.
Stephanie Davis : All right. Thank you.
Operator: Your next question comes from the line of Joe Vruwink with Baird. Your line is open.
Joe Vruwink: Great. Thank you. On the expectation for customer accounts, obviously, those are net numbers. I'm wondering if you could speak the gross experience retention on maybe even a logo basis or dollar basis over that stretch of time. And I guess I'm wondering, you talked about the progress you've had on kind of new deals and new transactions and shorter paybacks in those cohorts. I'm wondering if the economics have changed for the better within the established installed base, and that's driving some of the good updates we are now seeing.
Balaji Gandhi : Yes. I'd say yes is the short answer on the second question. And on the first part, we've been in a very tight range of 94% to 96% on gross revenue retention since we went public. So -- and we continue to be in that range.
Joe Vruwink: Okay. Thank you. And then second question, the way you framed in the prepared remarks, incremental EBITDA and incremental free cash flow both year-over-year. I'm wondering if you just have an expectation for that conversion rates and where the relationship might settle over a rolling, let's say, 12-month basis?
Balaji Gandhi : Not at this time, Joe. I mean, I think will -- there will continue to be nice pull-through. I think we feel comfortable now saying I wouldn't be modeling 100% pull-through, but we still think it will be very strong into next year. We'll give you -- we'll tell you more in December.
Joe Vruwink: That’s it for me. Thank you.
Operator: Your next question comes from the line of John Ransom with Raymond James. Your line is open.
John Ransom: Hi, good evening. A couple for me. If we think about your overall expenses outside of payment, which is variable, what kind of revenue do you think you could support with that level of expense compared to what you have today?
Balaji Gandhi : Is this your way of trying to get to a revenue number for next year, John?
John Ransom: No. It's a way to try to understand how much expenses will grow independent of revenue --.
Balaji Gandhi : I think we have said you shouldn't expect that expense number that you talked about, which is around $79 million in a quarter going up much over the next couple of years as we continue to grow at a pretty healthy clip.
John Ransom: Okay. And then secondly, just kind of trying to read between the lines a little bit, and this is a state school reading between the lines, which is always in question. So for you to drive a higher revenue per client, not only do you have to tackle bigger clients, but I'm assuming that you are also targeting clients that have a bigger willingness to write prescriptions so that the data flow through to pharma would be more valuable. So are you looking at groups that might be more high prescribers than maybe what you were in the past?
Chaim Indig: Hi, John, no, I think the way we think about it is making sure that we drive more of our holistic solutions across the Board the provider on initial sale. So as opposed to say -- and I think we've mentioned this on a couple of calls where it is as opposed to going in with a lower entry product or it's one of our offerings bring in with a fuller suite initially to drive more value early on. The reality is, I think the other thing that we're seeing is the investment that we've been making in R&D and product is starting to pull through as we have a broader offering to take to those clients, both initially and ongoing -- throughout the patient's -- patient journey. I think this is and we really do appreciate our investors giving us the rope to invest in product to be able to do this.
John Ransom: Right. So just thinking about your sales and marketing -- what has been done to -- I mean the productivity has gone up obviously. I mean you did that experiment where you hired a bunch of people, and you've been on this -- you did this growth experiment. Now you're on this productivity experiment. What have you done to improve the productivity of your sales and marketing team because I mean it's pretty evident in the numbers, but I'm just curious about the specifics.
Balaji Gandhi: Yeah, and I mean John, I don't -- I wouldn't think of them as two experiments, though I understand why you asked it that way. It was really we took capital in that we thought was very appropriate, put it to work with the idea that if we got faster growth, we would be able to drive a lot of operating leverage. Now the way you do that is you just focus on a lot of operating metrics and getting good results and returns. I think we've been pretty clear you don't get everything right. So when you don't, you got to look at it, measure it and sort of take care of that. So I think that's what you are probably seeing a lot of the numbers. Chaim, anything?
Chaim Indig: No. You do a great job.
John Ransom: And Chaim, I think last one, you're the only company I followed this completely virtual, but you've had this good return on R&D. How do you keep people in some -- same locations going with developing product at such a pace?
Chaim Indig: Look, I think we are very purposeful, John, in how we think about communication, documentation and ideating, but the team does pull together on a fairly regular basis. But it also allows us to attract and retain top talent from all over. And I think we recognize that it is not the same as in person, but we try to play to our strengths being fully virtual, but also recognizing that we have to get together, and we have to have a really focused time on that collaboration as we do on a regular basis.
John Ransom: Thank you.
Operator: Your next question comes from the line of Richard Close with Canaccord Genuity. Your line is open.
Richard Close: Great. Thank you for all the information in the letter. On product updates, Ryan took the MEDITECH. So I guess I'll hit medication adherence. Can you remind us what the revenue model is associated with that offering, is that being paid for by pharma, this part of network solutions? And if that is the process, is it like a drug by drug that the clients sign up for or due you go to each pharma company and say, hey, we'll show you all the prescriptions. Just curious how that all works.
Chaim Indig: Yes. So I'll give some detail, probably not as much as you'd like. So just to be clear, we don't actually disclose any information back to a pharmaceutical company on [who or why] (ph). So no patient identifiable information is delivered back to them. And the vast majority of that revenue is -- would probably be realized on our Network Solutions line and it would more often than not be part of an offering, a suite of offerings around the patient's journey that we would work with our network solution clients to provide them access to that network. But it will be one of multiple things that they'd often pick on, as opposed to just like we're growing and selling that thing.
Richard Close: Okay. That's helpful. And then maybe, Balaji, on the pipeline being the same year-over-year, you obviously focused or stated last quarter, you're focusing in on the shorter paybacks. So I assume some stuff probably fell out of the pipeline just because they were maybe not as broad from a product offering or interested in the broader product offering. Is that fair to say?
Balaji Gandhi : No, I don't think that would be fair to say, I think what you -- I talked about size earlier. And if you just think about the value, that's what we've been driving. And a lot of this, Richard, is the output of things we put in place a couple of years ago. So I think our comment really is just that pipeline is still good. It is about the same size and the deals are bigger, that's what will get us to the place we're trying to get next year and beyond.
Richard Close: Okay. And okay, that's helpful. And then final question here is I appreciate the retention comments, a couple of questions earlier, can you just talk to us a little bit about let’s say, client decides to switch from one vendor to let’s say Epic. What's your history in terms of keeping that client on the patient access side. And just curious there.
Balaji Gandhi : Yes. I mean, I don't think we talk about any specific EMR vendor, Richard. But I think we talked about our retention rates. We talked about the breadth we have and we are focusing on starting with these clients in a bigger way. But I don't think there is anything specifically to call out. There's -- we don't win every deal. But when those situations happen, it's not -- there's not one specific theme to bring out. And obviously, we're a pretty big player in this space.
Richard Close: Okay, thank you. Congratulations.
Balaji Gandhi : Yeah, thanks.
Operator: Your next question comes from the line of Daniel Grosslight with Citi. Your line is open.
Daniel Grosslight: Hi, guys. Thanks for taking the question. I wanted to go back to the components of REV for AHSC growth in '26 and beyond. First, I just wanted to confirm that you are still committed to that 20% top-line growth of your medium-term targets. And then if I look at your growth algorithm back in the 2018, 2019 time frame, obviously much of that growth was driven by subscription revenue per provider given the Life Sciences segment at that time was relatively nascent. Fast forward to today, the Networks business is your fastest-growing segment. So as we think about rev per AHSC growth in the future, is networks really going to drive the majority of that now? And how does that impact the visibility that you have in achieving those longer-term targets?
Balaji Gandhi : Sure. So first point, Daniel, the Network Solutions revenue is actually the first revenue line both in the history of the company, going back to 2005. So I just want to make sure, when you said [nascent] (ph), it’s the earliest revenue we had and the first product we had. I think what you have to appreciate is how much smaller the network was then. And we had done 54 million visits the year we went public. And so one of the reasons the Network Solutions has grown so much, we’re now working with over 100 brands. And I think that’s because the size of the network has grown so much that it gives us a nice tailwind to be able to have a lot of these conversations with a lot more people, frankly, that we won’t a few years ago. So I think that is a very different sort of thing. And I think as you talked about next year, I want to also clarify, we’ve never talked about 20% growth as any kind of target. I think we’ll talk to you, we’ll keep giving you updates about the things we’ll talk about ‘26 in December. But that’s really – I mean, that’s – I think you’ll get updates from us. But this year, you obviously have the growth the revenue that we’re targeting.
Daniel Grosslight : Got it. Thank you.
Operator: Your next question comes from the line of Sean Dodge with RBC Capital Markets. Your line is open.
Sean Dodge: Yeah, thanks. Good afternoon. You mentioned with respect to the guidance, the variability in that range being associated with network solution selling activity. I guess is there a big seasonal component or cadence in that business or Q3 -- in Q4 is still the heaviest for that segment? And then -- just anything you can share on visibility you have at this point into that revenue heading into the back half of this year? Thanks.
Balaji Gandhi : Yes. So you're right, Sean. Absolutely. That's been the case every year. We were pretty intentional about having a wider revenue guidance range for this year because of that. And so there will be a lot of balls up in the air in the fall, and we'll keep you apprised to that as we get through it. But that is the time of the year where we're doing a lot of sales.
Sean Dodge : Okay, thanks again.
Operator: Your next question comes from the line of Jeff Garro with Stephens. Your line is open.
Jeff Garro: Yeah, good afternoon. Thanks for taking the questions. Maybe follow up a little bit on that last one. If you could just give any comments specifically about any impact you've anticipated from it being an election year? I would imagine maybe you guys are an attractive non-media channel for Life Sciences given the increased spend this fall. But I'm curious to get your comments there.
Balaji Gandhi : Yes. No, I'm looking at Chaim too. And I don't think there's anything we'd call out about election season. We went through this in 2020 and 2022 as well. And frankly, well before we were public.
Jeff Garro: Fair enough. One more for me. Just want to see if we could get an update on MediFind. Curious what's working there in terms of customer adoption within the Phreesia base? And any early insights on the value realized by clients that are using that service?
Balaji Gandhi : Yes. No, look, it is just across the one year anniversary in July. I think talking to our Life Sciences team, it's helped spark a lot of good conversations around how we can bring value just beyond what we've done historically with this asset. And I think it is going to be a driver of our growth in the future. So when you think about the conversations like total revenue per client and Network Solutions growth, absolutely MediFind is going to be part of that.
Jeff Garro: Great. Thanks for taking the questions.
Operator: Your next question comes from the line of Ryan MacDonald with Needham. Your line is open.
Matthew Shea: Yeah, thanks. This is Matt Shea on for Ryan. Thanks for taking the questions. And congrats on the quarter here guys. I wanted to follow up on the new provider adds to the back half of '25 kind of below that 100-plus per quarter rate. Should we view this as maybe new selling seasonality going forward that new deals might be more first half of the year or first half of the fiscal year weighted going forward? Or is this more of a signal of the shift towards fewer but bigger new clients? I guess just trying to understand if we should expect new provider ads to be linear in FY '26 or more front half weighted?
Balaji Gandhi : Yes. No, Matt, actually, you should take away, and this is some feedback and conversations we've had with a lot of folks. This is a very intentional effort on our part to get out of the quarterly cadence of AHSCs and give you a bigger runway. And so what we're saying is we're giving you a sense for where we think we'll be for the full year on average and where we'll be next year. But I do think I'll confirm that this is not anything about seasonality or anything like that. It's just a point in time where we're choosing to set expectations and longer-term.
Matthew Shea: Okay. Fair enough. Yes, that makes sense. And then just to follow up on the PAM renewal. Just curious, were you guys hit it against any other vendors in that process. And then as we think about the expansionary opportunity, those for potential additional models. Does that create a revenue uplift as CMS add you do additional models? Or is that just included in your renewal contract kind of passed as no revenue uplift?
Balaji Gandhi : Yes. So first of all, one of the reasons we are very excited about that measure is it is very unique. I think there's public information out there, Matt, on why PAM was selected and what makes it unique, that you could probably chase down. And then in terms of the programs, yes, there's opportunity there. I think that's also out there publicly that we can -- if we can get into some more models that creates revenue opportunities, which we're excited about.
Matthew Shea: Okay, great. Thank you.
Operator: Your next question comes from the line of Jack Wallace with Guggenheim. Your line is open.
Jack Wallace: Hi, thanks for taking my questions. And congrats on getting to cash flow positive. I wanted to send another question your way about the growth algorithm for next year. I wanted to maybe ask about the same-store sales growth. It sounds like you're adding some bigger deals, maybe moving up market a little bit. But thinking about the clients you do have, how much additional upselling is contemplated within the algo for next year? Is there any price that we should be considering? And then just kind of the general impact or lack thereof, maybe the sunsetting of the initial demo periods? Thank you.
Balaji Gandhi : No, nothing you should take away from that in terms of change to any of our go-to-market. And I think when you -- I wouldn't characterize it as up-market or down-market. We're just talking about value. And like I said, there's the total value that we can drive in the business, and that's gotten bigger this half versus last half. And that's why we feel sort of -- we feel comfortable sharing our outlook for next year.
Jack Wallace: Appreciate that. So maybe another way to ask is the -- at least on the subscription line, you've been hovering around a little higher than third penetrated against your per provider [TAM] (ph). Should we expect that penetration to go up next year? Or is it really just a function of the larger deals in higher-value deals coming in?
Balaji Gandhi : Yes. And again, I think what we're going to emphasize, when we say value is total revenue. Some of them will be larger on subscription, some of them could be larger on payments. and some could be larger network solutions. But really, when we say total value, we mean all three.
Jack Wallace: Got it. Thank you.
Operator: Your next question comes from the line of Aaron Kimson with Citizens JMP. Your line is open.
Aaron Kimson: Thank you. Do you announce the availability of Phreesia on the Oracle health care marketplace at the end of July and an integration with Oracle EHR? You talk about what you've seen from the partnership and integration in the first month and the potential you see for it to help Phreesia land customers going forward?
Balaji Gandhi : Yes, Aaron, it's early. I mean -- and we just announced that. So I don't think there's anything particular to call out. We're happy to get -- formalize that. But I don't think there's anything specific to call out.
Aaron Kimson : Okay thank you.
Operator: This concludes the question-and-answer session. I will turn the call to Chaim for closing remarks.
Chaim Indig: Thanks a lot everyone, for joining us. I hope everyone's gotten back into the full swing and everyone is happy that their kids are back in school, and I look forward to seeing everyone over the next 90 days, and we'll talk to you all in December. Great way.
Operator: This concludes today's conference call. We thank you for joining. You may now disconnect your lines.